Operator: Good day and welcome to the Lantronix Fourth Quarter 2022 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Rob Adams, Corporate Development and Investor Relations. Please go ahead sir.
Rob Adams: Thank you, and good afternoon, everyone. Thanks for joining the fourth quarter fiscal 2022 conference call. Joining us on the call today are Paul Pickle, our President and Chief Executive Officer, and Jeremy Whitaker, our Chief Financial Officer. A live and archived webcast of today's call will be available on the company's website. In addition, you can find the call in details for the phone replay in today's release. During this call, management may make forward-looking statements, which involve risks and uncertainties that could cause our results to differ materially from management's current expectations. We encourage you to review the cautionary statements and risk factors contained in the earnings release, which was furnished to the SEC today and is available on our website and in the company's SEC filings, such as the 10-K and 10-Q. Lantronix undertakes no obligation to revise or update publicly any forward-looking statements to reflect future events or circumstances. Please refer to the news release and the financial information in the Investor Relations section of our website for additional details that will supplement management commentary. Furthermore, during the call, the company will discuss some non-GAAP financial measures. Today's release, which is posted in the Investor Relations section of our website, describes the differences between our non-GAAP and GAAP reporting, and presents reconciliations for the non-GAAP financial measures that we use. With that, I'll now turn the call over to Jeremy Whitaker, our Chief Financial Officer. Jeremy?
Jeremy Whitaker: Thank you, Rob and welcome to everyone joining us for this afternoon's call. I'm going to provide the financial results as well as some of the business highlights for our fourth quarter fiscal 2022 before I hand it over to Paul for his commentary. For the fourth quarter of fiscal 2022, we reported record revenue of $35.9 million, an increase of 74% when compared to $20.6 million for the fourth quarter of fiscal 2021 and up 11% sequentially, as compared to $32.3 million reported in the third quarter of fiscal 2022. The year-on-your increase was driven by organic growth of 29% in addition to the contribution from our acquisition of the TN Companies. Gross margin was 41.9% for the fourth quarter of fiscal 2022, as compared with 42.1% in the prior quarter. Selling, general and administrative expenses for the fourth quarter of fiscal 2022 were $9.4 million compared with $6.1 million for the fourth quarter of fiscal 2021 and $8.3 million for the third quarter of fiscal 2022. Research and development expenses for the fourth quarter of fiscal 2022 were $4.9 million, compared with $3.6 million for the fourth quarter of fiscal 2021 and $4.5 million for the third quarter of fiscal 2022. The year-on-year increases in SG&A and R&D are largely driven by the acquisition of the TN Companies at the beginning of our fiscal year. GAAP net income was $2.5 million or $0.07 per share during the fourth quarter of fiscal 2022 compared to a GAAP net loss of $1.1 million or $0.04 per share during the fourth quarter of fiscal 2021. The increase in GAAP net income was primarily due to non-cash income related to our most recent acquisition. Non-GAAP net income was $2.9 million or $0.08 per share during the fourth quarter of fiscal 2022 compared to non-GAAP net income of $1.7 million or $0.06 per share during the fourth quarter of fiscal 2021. Now, turning to the full-year results, net revenue for fiscal 2022 was $129.7 million compared to $71.5 million in fiscal 2021 representing an all-time record and an increase of 81% driven by organic growth of 31% and contribution from the acquisition of the TN Companies. Gross profit as a percentage of net revenue for fiscal 2022 was 42.9% as compared with 46.2% for fiscal 2021. The decline in gross margin percentage was primarily due to product mix, and increased supply chain costs during fiscal 2022. GAAP operating expenses for fiscal 2022 are $60.6 million compared with $36.4 million for fiscal 2021. Non-GAAP operating expenses for fiscal 2022 were $44.8 million compared to $28.2 million for fiscal 2021. As a percentage of revenue, non-GAAP operating expenses for fiscal 2022 declined as a percentage of revenue to 35% as compared to 39% of revenue in fiscal 2021. For fiscal 2022, we reported a GAAP net loss of $5.4 million or $0.16 per share compared to GAAP net loss of $4 million or $0.14 per share for fiscal 2021. The increase in GAAP net loss was primarily due to non-cash acquisition related costs. Non-GAAP net income increased by 97% to $11.4 million or $0.33 per share for fiscal 2022 as compared to $5.8 million or $0.19 per share in fiscal 2021. Now, turning to the balance sheet, we ended the June 2022 quarter with cash and cash equivalents of $17.2 million as compared to $9.7 million in the prior fiscal year. Working capital increased to $54.5 million as of June 30 2022 as compared with $51.8 million as of March 31 2022. Net inventories were $37.7 million as of June 30 2022, compared with $33.2 million as of March 31 2022. Now turning to our annual outlook. For fiscal year 2023, we're targeting revenue of $149 million to $162 million representing growth in the range of approximately 15% to 25% and non-GAAP EPS in a range of $0.39 to $0.44 per share, representing growth in the range of approximately 18% to 33%. We expect the revenue and earnings growth to be more heavily weighted in the second half of the fiscal year as our two largest design wins are expected to ramp into full production during the second half. I'll now turn the call over to Paul.
Paul Pickle: Thank you, Jeremy. I'm pleased to report results today because I'm not only reporting on our fiscal fourth quarter and 2022 year-end results, but I am also laying out for your investors what is expected to be an exciting fiscal 2023 for all of us. Starting with Q4 as Jeremy revealed to you, revenues for the quarter totaled $35.9 million, up 74% year-over-year and 11% sequentially. For the year, we grew revenues an impressive 81% and 31% organically. While we intend to continue to build on capabilities and competencies through M&A, it is our ability to grow organically that will be the true test of our operating philosophy as well as our ability to integrate and manage those acquisitions. Q4 results were solid with our outperformance coming against the backdrop of ongoing supply chain disruptions and increased costs, which continued to temper profit growth. During Q4, we were able to secure additional semiconductor supplies that we had originally expected in the September quarter, which helped us to exceed our initial revenue expectations. Despite these additional shipments, we still saw late shipments to customer request, they increased to approximately $10 million up from just over $7 million last quarter. We are starting to see supply improving for some of our components. But on the whole, it remains a mixed bag as we continue to see long lead times for a number of important products. Looking at requested shipments for our fiscal first quarter ended -- ending in September, we expect a slower start to our fiscal year versus Q4. However, our operations team will continue to aggressively source supply in hopes of meeting customer requested delivery dates. In aggregate, we expect the supply chain to continue to improve over the remainder of the calendar year. As we turn to our product discussion, we are reporting on the business with three new product classifications which better describe and give insight into our business. Those are Embedded Solutions, Systems Solutions and Software and Services. Embedded Solutions will continue to include devices such as SiPs, sums and sub-assemblies which are ultimately embedded within a customer's product. System Solutions are our standalone box products, though they may be a complementary part of a larger IoT solution of that. And finally, our software and services will include software licensing, SaaS and other services with recurring revenue as well as design services. Looking at our fourth quarter, embedded IoT solutions totaled $18.4 million up 20% sequentially and 68% year-over-year and represented 51% of total revenues. For the full-year, embedded IoT solutions totaled $61.8 million up 60% year-over-year, and 48% of revenues. Results were driven by record compute revenues comprised of our enterprise video conferencing products as well as our security and surveillance solutions. As we look to fiscal 2023, it is going to be another exciting year for Lantronix and we are pleased to announce that we've received our initial production purchase order from the electric vehicle manufacturer, TOGG. For TOGG, we developed a complete automotive infotainment computer that can interchange different SiPs or System in Packages and processor capabilities, that's allowing TOGG to customize its solution depending on the vehicle. It will handle all of the camera processing driver guidance various consumer applications expected in today's modern cockpits, we expect to begin volume shipments of this device appreciably in the second half of our fiscal year. Turning to System Solutions, revenues in Q4 totaled $14.6 million or 41% of revenues down 2% sequentially, but up 154% year-over-year, with most of that growth coming from acquisition. For the full-year 2022, System Solutions totaled $59 million or 46% of revenues up 144% from fiscal 2021. We also expect a strong showing from systems in 2023 as we have now signed our pilot production agreement for the Quantum Edge Device Compute platform with smart grid energy customer Enel. Pilot production of approximately 1,000 units should commence in our second fiscal quarter. After receiving an additional award this quarter, we currently have production awards for a total of 39,000 production units. As previously guided, we conservatively expect this project to contribute $10 million to $20 million of revenues in fiscal 2023. Looking at software and services, revenues in Q4 totaled $2.9 million, up 36% sequentially and accounted for 8% of total revenues. For the full-year, software and services totaled $8.9 million or 7% of total revenues up 2% year-over-year. We exited the fiscal year with a high margin subscription ARR of approximately $900,000 while shy of our goal of $1 million to $1.5 million exit rate this fiscal year we continue to make progress on this front, with continued uptick by our customers given our slated release of compelling new software products and services. As we look toward 2023, we continue to tackle a robust design funnel, focusing on those designs that give us the best long-term volume potential. As we reflect on the last three years, we've accomplished much, we have significantly expanded our opportunity with a company better equipped with the capabilities and competencies to address today's emerging IoT market. We have optimized our go-to-market strategy and delivered on stated synergy targets by efficiently integrating our acquisitions. Against the challenges and constraints of the current environment, we delivered better than 30% organic growth in fiscal year 2022 and revenues have almost tripled from three years ago. But we have more to do as the positive secular market trends are just beginning to manifest. As we look towards fiscal 2023, we intend to continue delivering for the benefit of our shareholders. In summary, we are pleased with our fourth quarter and year-end results posted today. And we look forward to a breakout year in 2023 as recent design lens ramp into production. While supply chain and related logistics issues will continue, we feel we have enough demand and visibility to drive results in line with our fiscal year 2023 guidance. That completes the prepared remarks today. So I will now turn it over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Mike Walkley with Canaccord Genuity. Please go ahead.
Michael Walkley: Great, thanks for taking the questions and congrats on the strong fiscal 2022. I guess, Paul just in terms of your guidance, can you just help us maybe think about the seasonality for the year, it sounds like it's a much stronger second half of the year, congrats on the TOGG and Enel deals, any should it be a steady sequential increase from maybe a down sequential September quarter or how you're thinking about how that linearity plays out in the year given supply issues also?
Paul Pickle: Yes, I'd say it's, the Q1 is less seasonality and it's more a product of some of the supply chain limitations that we're running into, you don't really get the answers out of the component suppliers. And sometimes you're able to, they have upside demand that they delivered to you late in the quarter, you're able to convert that. I think that's what's kind of happening in Q1, we had slated product that was due to be delivered on our dock in September. And then we were able to bring that into the June quarter, which of course as soon as we can convert product, and components into product and deliver that to our customers, it's pretty critical that we get that out the door. In terms of these larger programs, we've had long-term visibility, some of the award letters have allowed us to do place long lead time, purchase orders in place at no risk to us. And so we're able to really kind of schedule and deliver to those forecasts. So that's why we've got pretty good visibility in the December quarter and beyond. And that's some of the limitations we're running into for this -- for the September quarter.
Michael Walkley: Great, thanks. And then just on TOGG, now that you've got that order, can you remind us kind of the long-term opportunity within and the timing when that hits the model for fiscal 2022?
Paul Pickle: Yes, they're doing a plant opening in October, the assembly lines are being qualified today are going through, they're actually in place and producing bodies and are going through qualification. I was there this past quarter visited the plant. So their production is pretty much in line to start kind of that January '23 timeframe. So the plants opening in October, you can expect some components to be delivered in the December timeframe. But bulk of that delivery will come in the latter half of our fiscal year and continue on through 2023. And if we think in terms of total unit opportunity, first purchase orders for 25,000 SiPs at this point and their first year forecast I think is roughly 30,000 and moving to 60,000 a year thereafter. But plant capacity is basically I think at max 167,000 units.
Michael Walkley: Great, thanks. Last question for me, and I'll jump in the queue. Just Jeremy with listed product, new divisions in the product mix changing in fiscal '23. Any thing to think about on gross margin should be somewhat stable, or maybe a little down given some of these new projects?
Jeremy Whitaker: Yes, so I would, as it relates to some of our largest design wins, such as Enel with the QED and then also with TOGG, those tend to be on the lower end of our scale. So there will be some downward pressure as it relates to that. That said, we do get back with the higher revenue, we'll get some better absorption. And with the expected up tick in some of our higher margin areas like services, that will also give us a little bit of relief. I think, also in the second half of the year, we may begin to start seeing some relief as it relates to some of the different supply chain costs beginning to normalize. So like I said from, I think from a straight product mix, some downward pressure, but some of that will get offset by some of these other areas as we progress through the year.
Paul Pickle: Yes, Mike, I'll give you two other pieces of color as well, we just at the end of July, I believe it is we're off that transition services agreement with CSI, so kind of final integration, warehouse move completed, that was basically $1.2 million a year that doesn't repeat in fiscal 2023. And this particular quarter was the purchasing of components was a little bit more normalized. It'll take a while for PPVs to kind of work through the P&L, but freight was just, we saw a significant increase in freight, upwards about 50%. And you couldn't forecast that kind of increase. I don't see those types of increases repeating and so we should be on the downward trend in terms of some of those additional supply chain costs.
Michael Walkley: Great, that's very helpful. Thank you.
Operator: The next question will come from Scott Searle with Roth Capital. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Nice to see the strong organic growth guys. Maybe just to jump right in, in terms of the June results, OpEx was elevated. I'm wondering if that's more of a normalized number, if there's any one-time impact in there. And then Paul to follow-up on some of your comments related to gross margins, freight was elevated as well, components supply chain remains difficult. But it sounds like things are improving going forward. I'm wondering what the magnitude of the impact was in the June quarter? And how we should think about that going into September and beyond and that trajectory over the course of fiscal '23?
Paul Pickle: Yes, it's hard for us to kind of project, what freight is going to be going forward, it was a significant up tick, kind of halfway through the quarter. And I think as we get back to a more normalized environment, we could start to utilize some lower cost shipping lanes, as well. So I don't think that they necessarily continue to tick up, but should normalize. And I think we'll be able to whittle those down, I will state as I have stated before that I do think that we have quite a bit of improvement to be had on the COGS line just in the way that we've kind of executed purchasing, supply chain management component management or commodity management, I should say. And then as we get into a more normalized environment, I think that just brings it all back around. In terms of OpEx, I'll let Jeremy give you a little bit of color there, but just simply say that we did have some R&D projects that had to go to certification, those certifications where at least a part of up tick in OpEx, I wouldn't look at the OpEx number as a normalized number, something that's going to continue to repeat, we did have some one-times in there as well, some variable comp. Any other color, you want to highlight Jeremy?
Jeremy Whitaker: No, I was going to point out the variable comp, which was higher than what we saw in Q3. And I would expect that to normalize in Q1 and have a lesser impact.
Scott Searle: Hey, Jeremy, is there can you quantify the gross margin impact in the June quarter? And also, Paul, just to clarify, I think in your comments as well, you talked about $10 million up from $7 million. So there's basically, kind of $3 million was left on the table in effect this quarter, for various component availability issues?
Jeremy Whitaker: Yes, I'll cover the late customer request date, we were making pretty good progress, we actually expected to whittle down that $7 million, we did get some significant up tick in demand in the quarter, if I look at ordering patterns, they were actually pretty good. We're seeing some of the ordering pattern starting to request product in the out quarters as well. So customers are getting a little bit more visibility and are able to plan a little bit better. I think that will kind of help us on our supply chain cost and not having to go out to the spot market. But yes, it was unfortunate that we saw that up tick in late to customer request date, but on the positive demand for the quarter was really strong, if you take that $3 million and add it to our results, it gives you a good indication of where the quarter demand rate actually was.
Scott Searle: And if I could just lastly follow-up on some Mike's questions around the guidance, nice to see that 15% to 20% outlook for the year, you didn't mention that it starts a little bit slower in September, I'm wondering kind of what that means sequentially in terms of the trajectory of revenues. And then given the timelines for some of the larger opportunities with TOGG and with Enel, it sounds like they start to ramp-up in the back half of the fiscal year. So a couple of questions in there with, given that you're seeing 3% organic growth, 15% to 20% seems like it's a relatively modest number. I guess I'm wondering what are you factoring in terms of Enel contribution and TOGG contribution in the year and then kind of given what sounds like a back end loaded year, is it correct to be assuming that you're exiting fiscal '23 probably somewhere in the $45 million plus range per quarter somewhere in that ballpark? Thank you.
Jeremy Whitaker: Yes, that's a safe assumption. I mean, if we're going to do $150 million at the midpoint next year, we have to have some quarters that are starting with a four. And we do expect that to happen. In terms of contribution, I'm a little conservative on the contribution of Enel just especially with new programs that are ramping up, we expect it to start to affect our December quarter. That still remains true, we're saying 10 to 20 it's probably more on the order of $20 million. And right now we're dialing in a 150 midpoint. We think that 20% growth is pretty good. Internally, I think we have line of sight to some possibilities of being a little bit better. But we're trying to be prudent here planted out, try to, I guess rationalize our customer expectations in terms of their ramps as well. So, we'll provide additional color as we're able to move further along in the fiscal year.
Scott Searle: Great. Hey, thanks so much. Congrats on the quarter.
Paul Pickle: Yes, thank you for further clarification, that midpoint is about 155.
Scott Searle: Thank you.
Operator: Your next question will come from Christian Schwab with Craig-Hallum Capital Group. Please go ahead.
Christian Schwab: Hey, thanks for taking my questions. So it gives us like, what is your -- we could do the math, but why are gross margins going to be, is it it's kind of confusing, because we talked about, we're not adding a lot of potential revenue from the big programs at lower gross margins, but your implied gross margins for your revenue guidance is kind of below what we've kind of been operating that lately and certainly last year, so can you help give us clarity there, please?
Paul Pickle: Yes, I think if you -- obviously, if you do the math, it's right in line with what we have been driving. I think if we look at what our stated operating model is, it's 10% EBITDA margins were just slightly below that 9% doing okay in today's environment, we'd like to be driving 10% quite solidly. And so right now, the EPS guidance is right in line with that revenue guidance. So it's not really an expectation of gross margins drifting downward, we think, well you can actually improve that as we go through the year. But at this point in time, trying to forecast exactly what's going to happen over this next fiscal year, we're trying to be prudent and just anticipate some of the supply chain costs coming out, out of the P&L a little bit later. But I do think that there's certainly the potential for upside. But at this juncture, this is what we feel is prudent to forecast.
Christian Schwab: Okay, that's fair. What do you believe, what you guys are assuming your organic growth rate is on a go forward basis or over the course of the next year, ex a couple of the main big program wins?
Paul Pickle: So, what we're forecasting is 20%. That's what I think we can dial in, I think we've got line of sight to do better than that, as the year goes along. But some of these windows, given what these production ramps are expected to do, it could move in and out of that, that last June quarter, some of the bigger quantities that ramp-up, and so we're just trying to forecast what we currently see today. Does that make sense?
Christian Schwab: Yes, I guess I'm just trying to gauge just how conservative we're trying to be. I mean, if we're on the high end of revenue expectations for next fiscal year for Enel, I mean that's pretty much, that puts you near the top end of your growth expectations. That's your outline today. So, that kind of suggests a lot of conservatism and many other programs as well as a couple of other big programs that we've talked about. Am I thinking about that, right?
Paul Pickle: You are, I think that kind of makes sense, the way you're framing it, bear in mind, this program starts to ramp really at the end of the December quarter, and more appreciably in our third fiscal quarter. So that March quarter, there is one other supplier that Enel has some dependency on that has been the long pole in the tent, we've been ready to go since the September timeframe, September quarter timeframe. So this particular quarter that we're in as Enel has requested, but the other vendor has not necessarily delivered what they've needed to deliver because of some of their supply chain dependency. So, given the fact that we have some dependency on that other vendor, it's not, it's I think it's prudent to anticipate, be a little bit more conservative, anticipating some of those same type of supply chain disruptions happening. And so when we look at it, we see it starting to happen in December quarter with a ramp-up that could be quite steep, but at the same time, you have to ramp-up production on a compute box. So it should move pretty steadily up from that timeframe through the end of the calendar year.
Christian Schwab: Okay, that's great news. But one last question, if I can squeeze it in here is, is there any update for us on the M&A landscape and recent valuation changes, at least in the public markets here in tech this year, can you give us any update on any potential funnel or you seeing more stuff to look at or is nothing really changed?
Paul Pickle: We have had some additional meetings, I'd say that the opportunities are a bit more actionable of late and the conversations are a bit more numerous than they have been. Valuation certainly helps. We went through that kind of VC cycle last year where things were quite good. And I think people wanted to go, make a run of it for themselves raise money, a lot of those players are, things didn't pan out the way quite like they thought that they would. And so we're now having discussions again. So I think that's, it's a good environment. At the same time, we want to make sure that we pick the right assets. Given all the rules that we have going on, I think we can afford to be a bit picky and pick something that's a decent value, but also strategically aligned. But there's definitely a couple of tuck-ins out there that are definitely actionable. So it's a good environment, valuations are a bit more reasonable. Starting to see some depressed assets, which is kind of a good sign as well. It could present a good buying opportunity.
Christian Schwab: Great, no other questions. Thanks, guys.
Operator: The next question will come from Jaeson Schmidt with Lake Street. Please go ahead.
Jaeson Schmidt: Hi, guys, thanks for taking my questions. Just two quick ones. First, could you just comment on what you're seeing in the distribution channel from an inventory standpoint?
Paul Pickle: Sure, that was kind of easy. We saw distribution throughout the channel decreased. So they sold out more than they purchased. A bit disappointing, in terms of having to go bang on distributors and say, hey, you already had minimum stock levels. And if we can just kind of ship directly to your customer, we'll just cut you out of the loop and recoup that margin. But we did see those inventories come down. I think that's a good sign. There's nothing building up in the channel. But I think it does kind of indicate a little bit of hesitancy out there in terms of today's environment and wondering what might happen. So I do think these are intentionally bringing that down. We look at it to make sure things aren't building up, so that we don't have a whiplash effect, but they're in pretty good shape right now for us, anyway.
Jaeson Schmidt: Okay, that's helpful. And then just a clarification. I know you mentioned that you could ship more in the June quarter, hence or the out performance but I'm just trying to get a sense on was this characterized, would you characterize this as sort of pull forward in demand? And some of the softness here starting fiscal '23 is just sort of that air pocket? Or is the softness starting this year really just a function of the supply chain still?
Paul Pickle: Yes, I don't see it as pull for these have been, so we exited this quarter with $10 million of revenue that customers requested in the June quarter, they wanted it, we couldn't deliver it. So that went up by $3 million over the previous quarter. So I kind of look at that number. The reason why we've been tracking that number is because it's a good indicator of demand. So demand still appears to be strong at least for us. I will say that we've been talking about our base business, that kind of long sales cycle industrial business. That's several years old it, it was growing at a double-digit rate, it really shouldn't be growing at a rate quite that strong. So we've been talking about expectations of that moderating around this June timeframe. I think we're starting to see that and it's at mid to high single-digits growth as opposed to double-digit growth, which is more appropriate for that business. So a little bit of catch-up has been done. But as indicated by the latest CRD shipments, despite being able to be our revenue expectations in the June quarter, we still didn't meet everything that customers requested. So if I could get enough supply we are able to ship against that late CRD number of $10 million be able to certainly outperform in the September quarter it's just, we're truly at a juncture at this point where we're supply chain constraint.
Jaeson Schmidt: Okay, got it. Thanks a lot, guys.
Paul Pickle: Thanks, Jaeson.
Operator: The next question will come from Ryan Koontz with Needham & Company. Please go ahead.
Ryan Koontz: Thanks for the question. Most of them have been answered. But when asked about your new product segments here, and what your expectations are going forward, as it relates to your backlog and your pipeline opportunities, even if it's not quantitative, maybe some qualitative directional expectations there, and also kind of help us understand how to bridge your legacy segments around REM and IoT into the new definitions and what sort of verticals drive which sorts of categories? Thank you.
Paul Pickle: Yes, I think we'll be providing some reconciliation, Jeremy, you can correct me if I'm wrong, where we kind of will provide the older, the previous segments, and then the new segments side by side, so you get a sense of what both of those are doing, I think, as we look at solutions, and now will be a big part of that. So, in terms of absolute dollars, total system solutions have higher ASPs attached to them. And so they can, that particular segment can substantially outperform all the others and then, but we do like the sticky embedded business as well, you design into customers platform, and they just continue to buy those sub-assemblies and deliver those, we've had strong growth in that segment as well. Qualitatively, I would say, we'll probably get decent growth out of both, with maybe systems edging out embedded towards the second half of the years at Enel platform starts to shift, because there are a lot of dollars attached to that. And then in terms of software and services, we wanted to provide visibility to how we're doing on the software side and talk about it as in a meaningful way, I think we still look at high margin ARR, still very early innings, but we wanted to report on that goal that we had for this fiscal year. In addition to that, I wouldn't expect the design services business to grow at an appreciable rate, that's not a good indication of what the business is actually doing because most of that revenue is leveraging, hardware revenue, residual hardware revenue that would enter, it would be counted for an embedded or solution category. So we kind of look at that more meaningful, and that software and services bucket is really kind of the software play. And so we'll continue to track that number to provide some visibility for that.
Ryan Koontz: Yes, super helpful.
Jeremy Whitaker: Yes, Paul, I can confirm that we're disclosing both the previous classification and the new classification, both in our earnings release and in the Form 10-K. So investors can see the new and the old classifications as we transition.
Ryan Koontz: Perfect, thanks. And Paul, is there an updated target for mix of software services or software standalone, which to think about at all?
Paul Pickle: Not at this time, but we are going through and looking at some of the programs that we have and are totaling that, I will update a target over this next year, or probably at this next quarter will give an update in terms of what our target exit rate is for the year.
Ryan Koontz: Helpful, thank you.
Paul Pickle: Thank you.
Operator: The next question will come from Scott Searle with Roth Capital. Please go ahead.
Scott Searle: Hey, Paul, just a quick follow-up from an industry standpoint, given the Semtech Sierra Wireless or the pending combination. Are you seeing any implications for your business in terms of more opportunities opening up, particularly on the module front or otherwise? Thanks.
Jeremy Whitaker: Yes, it's an interesting one, I think, if you look at it that semiconductor consolidation cycle, some would argue that it's run its course and then you would possibly want to start to move up the food chain. I think as we get some successes in specific areas related to specific technologies, compute, being one of those I think it becomes would become an attractive asset to either invest in or acquire. So I think it's expected to happen in more verticalized segments, I think is a reasonable expectation, but it is interesting some of the technology partnership discussions that we're having these days, and it's all around semiconductor guys. So one of the things about it's intuitive if you think about it, today's semiconductors are getting more and more complicated and somebody has to unlock that potential. More often than not customers just don't have the ability and the expertise inside to really leverage all that semiconductor has to offer. So somebody like us that's able to take Qualcomm platform and turn it into an end product for a customer really becomes a valuable asset. So that's a value proposition that we're definitely exploiting, clearly is driving some results. That's where a lot of our success is happening in terms of revenue, and I would expect those technology partnerships to become more important to us in the future.
Scott Searle: Great, thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Paul Pickle for any closing remarks. Please go ahead.
Paul Pickle: Thank you for joining us today and have a great week.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.